Operator: Thank you for joining the Pacira Pharmaceuticals Third Quarter 2014 Financial Results Conference Call. At this time, all participants are in a listen-only mode. Following the formal remarks of Pacira's management team we will open the lines for a question-and-answer period. Please be advised that this call is being recorded at the Company's request and will be archived on the Company's website for two weeks from today's date. At this time, I'd like to introduce Jessica Cho of Pacira Pharmaceuticals. Jessica Cho - Investor Relations Thank you and good morning, everyone. Joining me on the call today from Pacira are Dave Stack, President and Chief Executive Officer and Chairman; and Jim Scibetta, Senior Vice President and Chief Financial Officer. Before I turn the call over to the management team for their prepared remarks, I would like to remind you that certain remarks made by management during this call about the Company's future expectations, plans and prospects including those regarding EXPAREL, Pacira’s plan to expand the indications of EXPAREL, our ability to adequately resolve the issues raised in the FDA warning letter, Pacira’s plan to evaluate, develop and pursue additional DepoFoam based product candidates, production in Suite A and Suite C, a manufacturing relationship with Patheon, anticipated cost, gross margins, operating leverage and other statements containing the words "believes," "anticipates," "plans," "expects," and similar expressions, constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Any such forward-looking statements are based on assumptions that the Company believes are reasonable that are subject to a wide range of risks and uncertainties. Actual results may differ materially from those expressed or implied by such forward-looking statements. Many of these and other risks and uncertainties are described in the Risk Factors section of Pacira’s most recent Annual Reports on Form 10-K for the fiscal year ended December 31, 2013 and in other filings with the SEC, which are available through the investors and media section of the Pacira website at www.pacira.com or on the SEC website at www.sec.gov. During the course of this call, we will also refer to certain non-GAAP financial measures, including non-GAAP net income or loss, and non-GAAP EPS. Definitions of these non-GAAP financial measures and reconciliations of these non-GAAP financial measures to their most directly comparable GAAP financial measures are included in the earnings release for the quarter. And with that we will hear first from Dave.? Dave Stack - President and Chief Executive Officer Thanks Jess. Good morning, everyone, and thank you for joining us today. Our main product EXPAREL which has now seen continued commercial success for nearly two and half years is the primary focus of today’s call. As of September 30, 2014, a total of 3062 distinct customers have ordered EXPAREL since launch with 593 customers ordering more than $100,000 worth of product. 80 customers ordering more than 500,000 worth of product and 13 ordering more than $1 million worth of EXPAREL. Market share gains in the low produce third quarter were in line with the quarterly seasonal expectations that we provided to the Street for 2014. We reported $50.2 million of EXPAREL net revenue in the third quarter up 12% from the previous quarter. For Q3, we also saw the base of our business continue to grow with 247 new accounts an average of 19 new accounts per week. While we are pleased with the consistent number of new accounts quarter after quarter since launch, internal and external discussions have made it clear that more than two years into the launch this metric has outrun its use and we will no longer provide it beginning with the fourth quarter. Recall it with our current approved indications for infiltration into the surgical site to produce postsurgical analgesia we need an 8% market share to reach $1 billion of EXPAREL sales. With orders from approximately 65% of the top 1,000 hospitals in the U.S. which perform two thirds of all surgical procedures, our key commercial focus is now to expand growth within the existing customer base to provide reduced opioid pain management opportunities. The third quarter demonstrated that our largest customers continue to be those accounts that have had access to EXPAREL the longest further accentuated by the growing and increasingly broad utilization of EXPAREL across different new procedures. Adding to that evidence, we continue to see the removal of formulary restrictions by early adaptors and new formulary access without restrictions. In addition, similar market dynamics driving overall surgical procedures were at play in Q3. With our initial launch in the soft tissue procedures we established improved patient care through the ability to provide post surgical pain management with reduced opioids. The ability to provide specific algorithms for patients most likely to be problematic when opioids are used for postsurgical pain management has led to a number of enhanced recovery protocols and continues quality improvement initiatives at major academic teaching centers. We look forward to continuing to work with these centers to provide care pathways which can be shared with other hospitals as we provide available option to address the opioid epidemic in the United States. Orthopedic procedures remain the fastest growing market segment for EXPAREL continuing the expansion from knees, hips, hands, wrist, shoulders, foot and ankle to spine, fractures, trauma and sports medicine. There are several protocol driven management companies which provide specific care pathways for orthopedic procedures. Orthopedic enhanced recovery protocols for both inpatient and outpatient procedures have implemented EXPAREL. For example the Marshall steel cap care pathway for inpatient procedures and the Swift pass outpatient arthroplasty protocol both are using EXPAREL to achieve a reduced opioid strategy. In fact according to the latest available premiere data since launch soft tissue represents 46% of EXPAREL procedures, orthopedics represent 46% of procedures, cardiothoracic represent 3% of procedures with approximately 5% other. If we look specifically at the most recent data for the first six months of 2014 soft tissue represents 39% of procedures, orthopedic represents 54% of procedures with 3% cardiothoracic and 4% other. On September 25, we announced receipt of a letter from the FDA’s office of Prescription Drug Promotion or OPDP referencing certain promotional materials. The letter states that Pacira has promoted EXPAREL for uses outside of the package in certain indications and as there is lack of evidence to support pain control beyond 24 hours. Pacira responded on October 6 in accordance with the OPDP request. We are in active discussions with the FDA and look forward to resolving their concerns. While not raised in the OPDP letter, we also included an overview of the safety profile of EXPAREL in our response. From a clinical perspective, Dr. Eugene Viscusi in Journal of Pain Research last year a complete review of all—of our wound infiltration safety data which showed excellent safety. Two weeks ago Dr. Brian Ilfeld presented at The American Society of Anesthesia Meeting our nerve block safety data which showed results similar to placebo. Finally, from the post marketing perspective our sales numbers indicate that we have shipped over 800,000 vials of EXPAREL since launch and our reported adverse event rate continues to be well below 1% with most of those adverse events reflecting either normal events in the course of surgery or issues that could likely be addressed by further training and proper administration technique. Our clinical development team continues to work with EXPAREL as a platform opportunity. Based on our PDUFA date of March 5, 2015 for the nerve block sNDA, we are planning Phase 4 and additional nerve block procedures for upper extremity and lower extremity nerve blocks. We believe a nerve block approval will also provide the opportunity to initiate our planned chronic pain program. Bupivacaine is used routinely in the chronic pain patient population and this patient population of approximately 100 million people in the United States and we have many requests from the chronic pain physicians to study EXPAREL in this treatment setting. If all goes well, we would anticipate a U.S. launch for chronic pain management in early 2018. In addition, again based on many request from physicians and dentists from the marketplace, we expect to initiate a Phase 3 clinical program in oral surgery to address the roughly 25 million oral surgery procedures performed annually in the United States. Oral surgery is a well accepted pain model for FDA approval and acute pain. If all goes as plan, we anticipate this being added to our label with a potential launch opportunity in oral surgery in the first half of 2017. Our animal health partner Aratana has also recently provided updates from a pilot field study in the use of liposomal bupivacaine following knee surgery in dogs demonstrating 72 hours of effect. This data has provided the basis of continued clinical program in companion animals. To accommodate the expanding clinical use of EXPAREL in a marketplace we also expect to provide additional packaging options to support the needs of our customers. In late 2015, we expect to launch a 10 ml vial followed a 5 ml vial to support either the dental oral surgery indication, a pediatric indication and or the veterinary launch. Importantly, we have dedicated resources to our DepoFoam pipeline initiatives and we look forward to having the opportunity to discuss lead programs with you early in 2015. We also continue to see the existing body of clinical work grow in support of EXPAREL. Physicians continue to initiate and share their own independent studies in soft tissue and orthopedic surgeries. This week Dr. Jay Redan, a Medical Director at Florida Hospital Celebration Health presented his analysis at the American College of Surgeons or ACS. The findings reiterate the positive impact of an EXPAREL based pain management therapy at reducing opioid related post surgical complexions in abdominal surgical procedures. Patients treated with EXPAREL after surgery experienced a statistically significant decrease in urinary retention, respiratory depression and a risk of falls compared to the group receiving the previous standard of care. Next week there will be a randomized prospective patient and health economic outcomes trial presented at the American Association of Hip and Knee Surgeons or AAHKS comparing EXPAREL to opioid based standard of care across pain reduction, opioid consumption, opioid related adverse events and fall events in total knee arthroplasty. Additionally at the American Society of Health-System Pharmacists or ASHP EXPAREL will be compared morphine PCA and femoral nerve block with total knee arthroplasty in terms of PACU time, length of hospital stay, opioid use, and hospital cost. In Q3, a paper by Dr. Ben Domb of the American Hip Institute in Chicago on the effect of liposomal bupivacaine injection during total hip arthroplasty a controlled cohort study was published in the BMC Musculoskeletal Disorder Journal and in October the American Journal of Orthopedics published a supplement from the American Academy of Orthopedic Surgery Meeting earlier this year titled advancing orthopaedic postsurgical pain management and multimodal care pathways, improving clinical and economic outcomes authored by Drs. Lombardi, Herbst, Springer, and Hutchinson. In addition, we have a number of publications on individual centers, evaluation for EXPAREL ranging from bariatrics reconstructive surgery, cardiothoracic procedures, GYN procedures, and total joints, both in the inpatient and outpatient environments over the next two quarters. We also anticipate a number of publications around the safety of EXPAREL, pharmacokinetic evaluations in various practice scenarios, best practice consensus recommendations and enhanced recovery outcomes. Our health outcomes and value assessment team continues to partner with Patient Safety Organizations as well as physician and patient advocacy groups, an opioids bearing treatment strategies to address the opioid epidemic in the United State for example a presenting comparing outcomes of pain management strategies in bariatric surgery patients will be presented at obesity week next month. As you can see there is a great deal of interest of in the medical community to determine the best practice opportunity to reduce opioids and improve patient care. As you will hear from Jim in the next couple of minutes, the scale up of our manufacturing facilities continues to go well. Based on current forecast, we believe we will be in a position to provide EXPAREL to markets outside of the United States in 2018, 2019 timeframes. Given this expectation, we anticipate initiating discussions with potential ex-U.S. partners in late 2015 or early 2016 to work with a number of possible partners who have inquired regarding the availability of EXPAREL outside of the U.S. I will now turn the call over to Jim to review our Q3 financials and manufacturing update. Jim.
Jim Scibetta: Thanks Dave and good morning, everyone. We saw strong evidence in the Q3 results of the Pacira operating leverage which we believe will be more and more pronounced as EXPAREL revenue continues to grow not only with increased market share infiltration and with the anticipated nerve block launch in March 2015 but also further down the road with the potential oral surgery, pediatric and chronic pain opportunities. With EXPAREL revenue of $50.2 million in Q3 has emphasized a slow quarter in terms of surgical procedures, we are obviously in an annual sales run rate of over $200 million. This has been achieved in our 10th quarter post launch remaining ahead of the timeline reached by the largest comparable branded hospital products which ultimately achieve revenue well over $500 million. Let me point out here as we have noted on every quarterly call since launch that we continue to caution against relying on the EXPAREL sales estimates released by the third party data tracking services which have consistently shown distorted and misleading trends and this was particularly acute this quarter. As expected, we continue to see gross margin improvement up to 61% in Q3. Recall, we have guided EXPAREL gross margins for product made in Suite A and Suite C to be 75% to 80% at peak and greater than 60% in Q4 of this year which we’ve already surpassed. We expect to see further improvement over the Q3 results in Q4 and going forward as we work our way up toward full production capacity. Turning to measures of profitability, our GAAP net loss narrowed to $3 million or $0.08 per share. You will recall that we expected to achieve profitability on a non-GAAP basis no later than the second half of 2014 and we achieved that milestone last quarter with $1.5 million profit. In Q3, our non-GAAP net income rose to $5.7 million which translated to $0.16 per basic share and $0.14 per diluted share. The primary driver of the difference between our GAAP and non-GAAP income is the non-cash stock base compensation expense which reached a very seizable $7.7 million in Q3, about 15% of our total operating expenses. Just want to remind and emphasize that this is a direct consequence the value we created per shareholders resulting from our stock price appreciation since the $7 IPO in 2011. Given the importance of understanding our financial performance and trends independent of stock based compensation, I want to highlight that we added disclosure in the MD&A section of our 10-Q of stock based comp without our operating expense categories. So note that with the quarter-over-quarter EXPAREL revenue increase of approximately $5 million, our adjusted net income increased by approximately $4 million. This high correlation in Q3 between the incremental EXPAREL revenue and incremental non-GAAP profitability provides a glimpse of the oerating leverage inherent in our business model. We expect to become increasingly apparent as revenue continues to grow in the quarters and years ahead. In terms of cash, we generated $9 million of cash from operations in the third quarter. Our CapEx in Q3 was $4.9 million and as previously disclosed, we expect that figure to grow over the next several quarters as we purchase equipment and build out the additional manufacturing capacity with Patheon in the UK. Of notice, we made an $8 million milestone payment to SkyePharma in the quarter reflecting the achievement of the $100 million annual sales milestone related to our 2007 purchase agreement with SkyePharma. For reference, this payment doesn’t hit our P&L and is reflected in the payment of contingent consideration line in our cash flow statement. Owing to the generation of cash from operations in spite of the milestone payment in manufacturing CapEx, we ended the quarter with approximately $176 million of cash in investments only slightly down from the $180 million coming into the quarter. We recently hosted a visit to our Science Center Campus facility for research analysis emphasizing a few key messages on the EXPAREL product supply front. Number one, they were continuing to manufacture 24/7 365 days a year to build inventory in anticipation of continued rapid EXPAREL growth and are making significant progress in this endeavor. And number two we are very much on track for the first suite Suite A2 for additional capacity at our co-production partner Patheon’s facility to be up and running in the second half of 2016. We previously disclosed that our expected maximum annual production stated in terms of revenue at the current price is approximately $400 million in Suite A and Suite C combined and then an additional $300 million expected in Suite A2 at Patheon for a combined total of around $700 million. We’re also in the design phase of the second manufacturing skid at Patheon which we refer to as Suite B2 and we plan on being operational in 2018 or 2019 timeframe because we expect this facility to be at a scale that is twice the capacity of what we have in Suite C, this suite alone could provide an additional $600 million of annual capacity. So we expect to have at least 1.3 billion of total capacity in place no later than 2019. Keep in mind, that we initially made the capacity estimates for Suite A and Suite C and by extension apply to the Patheon Suite A2 and B2 before we had any meaningful experience running either suite 24/7. Based on our Suite A and Suite C production performance to-date, we believe those estimates may prove to be conservative. We also achieved a meaningful milestone in Q3 related to the new spray manufacturing process which we are now referring to as DepoFoam spray. On our Science Center Campus we’ve successfully established a DepoFoam spray pilot manufacturing facility which is not only replicating the liposomal bupivacaine product performance results that we have previously achieved on the lab bench equipment but equally important had been achieved with the proprietary aseptic spray nozzle that is central component of the DepoFoam spray intellectual property. We expect to meet with the FDA in the first half of 2015 to receive feedback on our proposed regulatory pathway to supplement out NDA to include an additional method of manufacturing EXPAREL via the DepoFoam spray process. We’ve noted that EXPAREL made in DepoFoam spray could enjoy improved gross margins estimated in the 85% to 90% range and we expect to have an Orange Book listed patent to 2031. In addition because of our emerging manufacturing presence in the UK alongside our co-production partner as we work through the technical development of Suite A2 and B2 manufacturing lines, we intent to also focus our development of the DepoFoam spray IP. In concert with this development activity, we expect to qualify for the UK patent box and if we are ultimately successful with the DepoFoam spray development, we expect our effective tax rate could decline from the high 30s to the high 20s. We intend to put more specific timelines on EXPAREL DepoFoam spray development subsequent to our meeting and feedback from the FDA. In our Analyst meeting at the Science Center Campus we also highlighted three additional topics that are interrelated, number one, we delve deeper into how DepoFoam based products like EXPAREL are made employing a very clever sometimes enigmatic proprietary process at the intersection of complex physics and chemistry requiring for example specialized equipment containing pre-specified mixer head geometries, heights, speed, and total mixing time that are all critical to the particle size formulation and the need for experienced based know-how to asses the impact of infinitesimal changes in critical process parameters on the final product attributes. We believe it’s important for investors to understand why we have such conviction that we can see no generic threat. Second, we emphasize that the various (excipients) used in our process are biocompatible natural lipids that form the outer membranes and internal chamber membranes of the multivesicular particles and that the bupivacaine in each vial of EXPAREL is contained within millions of those particles each containing trillions of internal chambers ultimately resulting in the desired release profile regardless of where the drug is injected. This is clearly a unique formulation approach but also begins to foster an understanding of the positive safety profile of EXPAREL that Dave discussed. And finally, we highlighted that we have experienced and cohesive team of R&D professionals who are actively working on our DepoFoam based pipeline products which as Dave mentioned we expect to say more about early next year. So in summary, a strong quarter financially providing concrete evidence to the operating leverage inherent in our business model and encouraging steps in our strategic plan around EXPAREL manufacturing, DepoFoam spray development, an R&D pipeline development to support and drive future value creation. Dave? Thank Jim. Ashley, can we open up for question-and-answer.
Operator: Thank you. (Operator Instructions) Our first question comes from Douglas Tsao of Barclays. Your line is open.
Douglas Tsao: Hi good morning.
Dave Stack: Good morning, Doug.
Douglas Tsao: Just when you think about sort of the trajectory that we have seen in recent months or recent quarters, sort of then varies with sort of little bit more modest growth followed by sort of boluses of activity, some of that seems to be seasonal. What is your sort of take on what we saw this last quarter, say in comparison to the inevitably tough comp that we saw in 2Q, where we saw really strong sequential growth on a quarter-to-quarter basis?
Dave Stack: Yes, pretty much what we were—pretty much what we had forecasted, Doug. If you go back and look at Q1, we had growth of 13%. In Q3, we had growth of 12% that’s pretty much the way we think the years are going to rollout based on everything we’ve talked about earlier, we see Q1 and Q3 being soft quarter for different reasons by the way and Q2 and Q4 being the big procedure driven quarters and that’s really what is the driver is really the number of procedures being done that any kind of a different use of EXPAREL. I would make one additional comment there Doug is as we do more orthopedic procedures which by their very nature are elective then we become more and more seasonal, right. So what we have is the baseline of emergent things as they are related to tumor remover and things like that and then patient’s actually have a choice of when they would have a knee or hip done and they would favor the second quarter and the fourth quarter.
Douglas Tsao: And then you mentioned ongoing discussions with the FDA, in terms of the warning letter. I guess the first question that comes to mind is at what point do you think that you could come, there could be a resolution with that, and not necessarily a closeout letter, because I know those can take years and years and years to come, if they ever do come. But at what point do you think you will sort of come to some interim agreement, if you will, with the Agency in terms of the market, you know sort of your marketing material?
Dave Stack: I appreciate the question, Doug and I think you will appreciate the fact that we are having ongoing discussions with the FDA and it’s just not appropriate for me to comment at this time.
Douglas Tsao: Okay. And then have you seen any impact in terms of accounts, how they've been looking at the indication of use for the product since the warning letter came out?
Dave Stack: That's a much more difficult question to answer. So here's what we see, and I will give you two directional question – or two directional answers to the question and I appreciate you asking the question by the way, I mean it’s the obvious question. One is that we have a strong and a significant number of advocates across a wide range of procedures and healthcare providers who have used the product and have enjoyed the benefits or their patients have enjoyed the benefits of a reduced opioid strategy. With that being said, there have been a number of negative reports almost entirely from pharmacy that have caused some market disruptions as a result of the warning letter and I will give you a couple of examples. We’ve had reports that EXPAREL have a black box. We have report that EXPAREL has been taken off the market. You know EXPAREL must have significant safety issues which have prompted the FDA warning letter after more than two years on the market of course of all those things are not accurate and we are certainly going to have to handle these pharmacy-driven misrepresentations until we come to some resolution with the FDA and certainly it’s not a positive, Doug. I mean, I guess, I should probably start off by saying that.
Douglas Tsao: Okay, great. Thank you very much.
Dave Stack: Yes, thank you.
Operator: Thank you. Our next question comes from Gary Nachman of Goldman Sachs. Your line is open.
Gary Nachman: Hi good morning, Dave.
Dave Stack: Good morning.
Gary Nachman: Just to followup on that last point. Have you actually been having any conversations proactively with the hospitals to explain your position to them and make them more comfortable about the while situation and then in 3Q, could you run through where else you're seeing most of the increased use for EXPAREL outside of orthopedics?
Dave Stack: Sure, so there is daily discussions with all kinds of customers, individual physicians and pharmacist and even patient advocacy groups and physician advocacy groups. There is a number of quality initiatives and enhanced recovery pathways Gary that we are rolling out at some major institutions so those discussions, those activities continue. Remember that the FDA warning letter was quite specific in the topics that it raised and so as you might imagine we are being very careful in how we work with the FDA and addressing the issues that they raised in the warning letter but we continue to have daily interactions with all of our customers. So that’s number one. Number two, I don’t know if I see anything specifically in Q3, Gary that would be a lot different. I mean what we see is that everything is growing and ortho is growing faster and I would also say tough that these CQI initiatives, the continuous quality improvement initiatives and the care pathways that are being rolled out are primarily in soft tissue indications, primarily in tumor removal and in the OB/GYN area and so we expect that as time goes and it’s largely by the way because those folks who had access to the technology for a longer period of time so their ability to develop protocol driven care is actually stronger than the ortho guys who are more recent advocates for EXPAREL. So you know what we’ve seen in Q3 is a little bit less ortho because of the elective nature of those procedures but on a percentage basis still growing faster than soft tissue and generally a damping of the procedures relative to what we think we will see in Q4. I don’t know if that’s a—if that’s not a specific answer to your question, ask again.
Gary Nachman: No that's very helpful. And then just last one for Jim. I mean it was noticeable that the R&D expense is pretty low in the third quarter. Just how should we think about that run rate as you head into next year, as you try and move forward with chronic pain, and then potentially also some of those other Depo products in the pipeline?
Jim Scibetta: Yes, you know, I think we’ve had a lot of discussion internally and we feel very fortunate that we can move forward multiple products in a pipeline without having a great impact on the P&L in the process, so the R&D, there is no doubt the R&D number is low this quarter because we are coming off of pivotal studies in the past and then nothing like that is active now. So you can expect a higher run rate as we go forward. But at the same time, when we look out without getting ahead of ourselves the type of things that we are looking at like EXPAREL development are actually not that expensive for us to develop. So we can have a bit of a win-win there.
Gary Nachman: Okay, thanks.
Dave Stack: Thanks Gary.
Operator: Thank you, our next question comes from Liana Moussatos of Wedbush Securities. Your line is open.
Liana Moussatos: Thank you for taking my question. In Q3 was there any inventory destocking? Can you comment on inventory from Q2 to Q3?
Jim Scibetta: Liana, we are still making more than we are selling now with we see approved. So we're building inventory. I don’t know if that’s the answer to those…
Dave Stack: Is that your question, Liana?
Liana Moussatos: I am just wondering, I don't mean at Pacira, I mean more at…
Jim Scibetta: Okay, sorry. I mean, I think we’ve sort of consistently said that based on the order patterns that we see, it doesn’t appear that there is any material stocking in any of our customers meaning that they order so frequently that it appears that they are using the product so, I don’t think that that’s anything that effects the quarter-on-quarter results.
Dave Stack: Yes, I would give you a slightly different frame of reference on that Liana. You know we—it’s interesting to us that we will se the same hospital order one box three times in a day and your normal response to that would be we could improve slightly our margins if we can get them to order all three and throw them in one box. But in fact what’s happening in the marketplace is they don’t want those three boxes to go into a central pharmacy somewhere, they want them to go directly into a Pyxis machine or some point of entry system inside the hospital and so that goes back to Jim’s point that we think we have several days of inventory in the field and we don’t see that changing much.
Liana Moussatos: Thank you.
Operator: Thank you. Our next question comes from David Steinberg of Jefferies, your line is open.
David Steinberg: Yes. Thanks very much and good morning. I was interested in your comments about pursuing an ex-US deal going forward. I haven't heard you discuss that too much in the past. So a couple of questions. First, what are some of the territories that you think are most attractive ex-US, and in which territories do you think you may get more favorable pricing? Secondly, are you looking to do some sort of global transaction, or more sort of a country-by-country situation, and thirdly, what types of companies, I know it's early, would you be look to talk with more, more device companies, more pharmaceutical companies, and finally again it's early, but what sort of structure do you think you might pursue sort of a royalty based deal, or a gross profit split? Thanks very much.
Dave Stack: Yes, thanks for the question, David. Let me just a made a broad comment first that the opportunity has been created by over performance in the manufacturing group as Jim outlined. So we’ve moved the schedule for this forward, so your comment that we haven’t talked about it really is appropriate. I think, we’ve had a number of folks who have asked about the drug some every months for the last couple of years frankly and a lot of that is driven by folks who come to the U.S. and work with some of our leading-edge KOLs and see them using EXPAREL and then want to know from us when they might be able to use that in their home territory. Specifically David, we have two quite different global opportunities. There are territories, the U.S., I am sorry Latin and South America, Canada some of the countries like Australia et cetera and to some extent China where the approval in the U.S. provides a shortened regulatory opportunity in those territories and those would be the most obvious for us to look at first. Other territories where you know the regulators have had a different idea about how the clinical trials would have to be done and where you might have to go through a more rigorous pricing discussion are going to take a longer time and I a m talking specifically now about the EU and Japan. So we view this as two very different opportunities. We have been in discussion with some of the KOLs in the European Union about how we might be able to create an opportunity for them to have access to EXPAREL and so those discussions are on going. For the rest of your questions about what kind of deal we are looking for and all of that, it’s just way too early for me to be able to give you any significant comments. We haven’t even really started the process yet, David. We are just getting to the point where we can open the opportunity to start to talk about this stuff.
David Steinberg: Okay, thanks. And just one more question sort of a 20,000-foot view. So given your robust trajectory soon you're going to be building up serious cash position, and I don't know how much you talked about at the Board level, but any thoughts on what you might do with that? I would assume you're not going to be paying a dividend, share repurchases, are you potentially looking at acquisitions, obviously it would be hard to find something that's growing as fast as EXPAREL, but what sort of acquisitions might you looking for, or any other possible uses of cash going forward?
Dave Stack: So, I will ask Jim to pick me up if I stumble here at all relative to the Board discussions but I am the first thing David is we’ve got a number of pipeline opportunities that are DepoFoam based that we’re flushing out now and really more around, we are really more around we are pretty solid with the market opportunity but we want to understand the clinical development requirements and how we are going to manufacture et cetera and that was the reference to hopefully some early discussions in 2015. So that’s the first thing that we are focused on. We are looking at some additional products for in-licensing. Jim would remind me if I don’t say it. We are not going to do $1.4 billion acquisition or anything like that but if we found some thing that, we had a low cost of sales because it was interesting to the same customer base that we are currently dealing with, we’ve also talked to the Board about that opportunity as well. After that, we will just have to see, I guess I look to Jim to make some comments here but we’ve got the bonds that are out there and how you resolve those relative to your use of cash and share buybacks and all the rest of that stuff will requite a much more sophisticated strategy that I can talk about on this call.
Jim Scibetta: Yes I mean the only thing I would add to that is we are aware that we are in an industry where people that have had great success always – haven’t always been the greatest stewards of capital for their shareholders. In front of us what’s visible is a lot of opportunity with tour internal pipeline and then potential in-licensing like Dave said. But if we are in that fortuitous situation of having a lot of cash and it’s not clear what to do with excess cash, we are not going to viscerally impose upon ourselves the need to buy something just because we have the cash. And then you do get into a discussion down the road of you know, you eventually find ways to return cash to shareholders but again between now and then we have a lot of development opportunities in front of us that we intend to pursue.
David Steinberg: Great thanks very much.
Dave Stack: Thanks David.
Operator: Thank you. Our next question comes from David Amsellem of Piper Jaffray. Your line is open.
David Amsellem: Thanks. Just a couple. So just back to the warning letter. Maybe I will ask the question a little bit differently, in terms of the sales rep interactions with the surgeons, are you noticing anything in terms of surgeon, physician perceptions of EXPAREL changing in the wake of this letter? So that's my first question. And then secondly switching gears to pricing, I'm sure it's not lost on you on Mallinckrodt did on their price reset on OFIRMEV, and there was a near-term impact on volume. So I guess with that in mind, is it safe to say that you're going to take a conservative approach on price as it relates to EXPAREL, and focus just on continuing to drive volume growth? How are you thinking about that? Thank you.
Dave Stack: Yes, thanks for the questions, David. The first question related to surgeons and if can broaden that I would say all healthcare providers other than pharmacy and anybody else who might be in the purchase camp, we don’t see anything where their perceptions of EXPAREL have changed expect where they have been provided misinformation by some other party that is inaccurate and so no, we don’t have—I don’t have any experience or any notion that any surgeons have had any misperceptions. I mean the drug is the drug right and the surgeon know that it works and so that is what it is as far as we are concerned. Your intuition on the conservative approach is probably the best way for me to say it actually. We continue to believe that pain is something that is ubiquitous and especially a opioids bearing strategy is a great value to the healthcare system and we will take modest price increases as the cost of our business increase but we think that it’s much more appropriate for us to make the provide available to as many patients as possible and have access to as many places as possible especially given David the fact that we’ve got nerve block and chronic pain and oral surgery and pediatrics and everything else coming down the pike here. So we are going to take very much a conservative approach and so I would agree with what you said, I won’t make any negative comments.
David Amsellem: And just a quick follow-up if I may, David, just so these expansion opportunity that you alluded to, and I might have missed this earlier. Is there any significant headcount expansion that's in the cards or it’s really just expansion at the margins if necessary?
Dave Stack: Yes very much at the margins if necessary and if we decide to double up on some the clinical development, you know we might add three, four heads in clinical research, clinical development but this is not anything that would be material in any way David. I mean our, you might increase our clinical group from a whopping seven or eight to nine or ten but from a sales force perspective, we are covering the institutions where the action is if you will.
David Amsellem: Okay, thanks.
Dave Stack: Thanks.
Operator: Thank you, our next question comes from Steve Byrne of Bank of America. Your line is open.
Tazeen Ahmad: Hi, it's Tazeen here for Steve this morning. Couple of questions. Can you drill in a little bit more into your orthopedic business? I know you've had significant growth in the segment for quite some time, and I guess the question I'm really asking is, how much of your targeted orthopedic market have you penetrated, and which procedures in particular do you think you have a lot of room to grow in?
Dave Stack: I don’t think that we are anywhere as near any kind of a top in any of them, Tazeen. What we talk about is the percentage of the EXPAREL business that’s related to orthopedic procedures but if you turn that the other way and you look at the percentage of orthopedic procedures where EXPAREL is used, it’s tiny still. And so I don’t—I mean it’s—so the normal progression maybe this is a more appropriate way to answer your question. Physicians or institutions almost always start with knees and hips especially knees and the opportunity there really is around the opportunity to have patients ambulate more quickly which obviously does great things in knee and hip procedures and discharge more quickly so there is a constellation of reasons why you would want to use a low opioid treatment strategy in a patient who is getting a hip or a knee then once the success of the EXPAREL therapy is demonstrated then you see other people in the institution start to pick up on it and that’s when you move to you know wrist and shoulders and then the spine guys generally would get involved and then the trauma guys get involved and those kinds of things and so I would tell you that knees and hips are the bulk of the orthopedic business but we’ve got a whole bunch of additional opportunities that rather literally are primarily word of mouth in the surgeon suite in the hospital you know where it’s the orthopedic surgeon talking to the spine guy, taking to the trauma guy, talking to the sports medicine guy and I would tell you from my perspective other than maybe knees themselves all of those opportunities are nascent.
Tazeen Ahmad: Okay. And then with regards to your opportunity in chronic pain, it's obviously a very large market in the U.S. alone, and as you think about the types of trials that you plan on running ahead of when you would think you could launch in 2018, where in the treatment regimen are you trying to place EXPAREL?
Dave Stack: So we are—actually we are having a series of ad boards right now. We had a couple and we are having a couple more. We are looking at where bupivacaine is used. We would very much want to look at a specific procedure that isn’t confounded by the concomitant use of corticosteroid if we can find one and so right now I think if I had to handicap where we would go, we would look at something like a facet joint and that would be the primary area that you would look at to do a Phase 3 program to demonstrate efficacy and safety.
Tazeen Ahmad: And obviously these discussions are still in flux, but would you need to do a large patient study for something like that?
Dave Stack: You know honestly, I haven’t looked at any kind of a power calculation for a P-value or anything yet. I don’t think we are there yet Tazeen but you know we’re—we will kick those things off sometime next year.
Tazeen Ahmad: Okay and the rest…
Jim Scibetta: I mean relative to what, I mean relative to a cardiac trial, we are not talking about thousands, we are talking about hundreds in any case but I don’t have a number I can share with you.
Tazeen Ahmad: Okay and I guess the last question about your plans to partner the ex-U.S. rights, would there be any situation in which you would choose to keep ex-US?
Dave Stack: Probably not. I mean, I guess I will never say never, but you know a number of us who work here have had a significant amount of international experience and I think our efforts are best rewarded here in the United States and we would very much like to partner with somebody who actually lives in these other markets and can address those the way we address this year.
Tazeen Ahmad: Okay thanks.
Dave Stack: Thanks.
Operator: Thank you. Our next question comes from Oren Livnat of JMP Securities. Your line is open.
Oren Livnat: Thank for taking the question. I have actually a few. Obviously March is bringing us this PDUFA for nerve block, I don't expect, I think your contraindicated now, but I'm just curious when you are staring at anesthesiologists in the face every day, right? And I'm just wondering sort of what kind of ground work can be laid ahead of that? Sort of what besides that data you published, what sort of awareness do you sense is out there now, and can be built before you launch, and how would that maybe be reflected in that launch uptake curve, assuming you are approved? And I guess the bigger picture question which is growth. You've obviously shown data, and you can show lots of data about opioids bearing and better AE profiles, I am just curious, is this about the hospitals recognizing the value proposition sort of across the board, and say anybody we use this in will have maybe a better outcome, a shorter length of stay, less opioids, et cetera, or is it really about this targeted stratification of, let's get these algorithms right of which patients this is best for, and let's get 70% of that market, rather than 2% of the whole market? Thanks.
Dave Stack: Thanks Livnat. First with anesthesia, really you are right. I mean we do interact with anesthesia because we are in the pain world everyday and really the only ongoing activity that we have with the anesthesia community because we have an sNDA under review at the FDA is when there is a specific request for information around some educational component of the trial work that was done or every once in a while we will have somebody ask about a physician who they heard is using the product somewhere else as there is some way that you know we can introduce them to that person or something like that. But there is no rep driven interactions for sure on the higher level side where we have anesthesia at boards of course as we start to work with the different anesthesia groups around the country to understand what the opportunity is and how they see the value of opioid reduction and things like that but no formal program that would be rolled out in advance of the FDA approval of the product. The second question is a little—well I don’t mean the first question wasn’t interesting on but we’ve known each other for a long time it’s a little bit more interesting. So, there is no one answer, which you might—and you might understand but let me give you—how we think about it anyway and then come back and ask me another question. So if you are talking about so let’s say a cholecystectomy where we are taking somebody’s gallbladder out typically the economic incentive of the hospital would be and I will just pick a number but let’s say for the purpose of this discussion that it’s a thousand dollars and in that environment the use of a $300 product actually is material and in that environment we provide the algorithms of who is most likely to have problems with opioids and stay too long and cost too much and that’s where we recommend that the hospital or the purchasing group might want to take a look at their own data and investigate a low opioid treatment or a low morphine treatment strategy. That would be quite different than any procedure where you have a significant profit margin for the hospital and especially in a scenario where there is a volume of procedures that overwhelms either the PACU bed size or the number of beds that are dedicated to that certain surgical group and scenarios where throughput becomes very important. So I will give a specific again. If you thought that you were going to make $6,000 on a procedure say the use of a $300 drug that has the promise of reducing length of stay by a day has a completely different discussion then you had with our cholecystomy guy. So it’s both.
Oren Livnat: And I guess in terms of your uptake using this approach, are you finding that you're able in these lower profit margin procedures, are your algorithms resonating are these care and quality pathways you talked so much about gaining traction, or is this ultimately and the reason we are seeing so much more or maybe ortho uptake, is it just a numbers game, and we're just looking at the math, and they're saying that the low hanging fruit is the rain making stuff, and let's just use it there?
Dave Stack: Well there is a little bit of that but it is interesting to me that most of the care pathways and enhanced recovery protocols are actually in soft tissue and it’s for the reasons that we outlined, right and so you know it’s a lot easier for the institution then to define exactly who is going to get EXPAREL and to have those pathways established so it’s not a physician or a group of physicians at a time. It’s an institutional decision that’s made or in some cases a group of institutions that have defined the best way to take care of patients in a certain procedure category.
Oren Livnat: Thanks. I don't want to hog the time, so I will sort of…
Dave Stack: I appreciate the question. Thanks Oren.
Operator: Thank you. Our next question comes from Jonathan Aschoff of Brean Capital. Your line is open.
Jonathan Aschoff: Thank you. A simple one. What's the difference between the $50.2 million in the headline, and the $50.9 million on the P&L for the EXPAREL revenues?
Jim Scibetta: I am not sure what you are referring to Jonathan.
Jonathan Aschoff: The press release has $50.2 in the headlines and $50.9 down in the P&L?
Jim Scibetta: If you are accurate then that’s inaccurate. The revenue is $50.2 million for the quarter.
Jonathan Aschoff: Okay thanks a lot.
Jim Scibetta: The EXPAREL revenue. I don’t, okay, I don’t see that.
Dave Stack: Thanks Jonathan.
Operator: Thank you. Our next question comes from Patti Bank of DISCERN Securities. Your line is open.
Patti Bank: Good morning. I just wanted to follow up on the nerve block, and just Dave, if you can explain a little bit kind of the training that needs to be done ahead of nerve block versus infiltration, and whether it's one dose for all nerve blocks, or different doses for different nerves?
Dave Stack: So the study was done in femoral nerve blocks Patti and the sNDA that was submitted is 266 in a femoral nerve block and so that will be the reference indication or the reference produce if you will. And the intention here is that once the FDA approves the femoral nerve block that we will do additional work in an upper extremity nerve block and a lower extremity nerve block. So there—what we have right now is a femoral nerve block dataset, with that being said, I am sure you know there are a number of KOLs and academic institutions who are doing their own clinical programs with EXPAREL in nerve block and hopefully we will have the benefit of that information as we gain FDA approval but right now all we are looking at is a femoral nerve block and that will likely be what the indication is.
Patti Bank: Okay and then I just had a quick question on a J code. If am I correct that we are supposed to here sometime in November on that and just kind of what your thoughts are about possibly getting that for 2015?
Dave Stack: Yes, on the first point that is our understanding and on the second point we don’t know but my – honestly Patti, I just don know. I should just stop there. We really don’t know whether we are going to get a J code or not in – I mean, I guess I could give you a little bit of intuition and we are already working on an updated application that we would put in immediately if we don’t get it.
Patti Bank: And then just the last question maybe for Jim as point of clarification, on DepoFoam spray I thought you said that you would be having a meeting with the FDA in the first half of 2015, am I correct in that you would go in and suggest some kind of bridging study or that’s the outcome that you would want there and that we are not looking at any additional big studies to get a DepoFoam spray approved.
Jim Scibetta: That’s right. We are trying to, as always have a regulator path that is one that allows us to get to the market the quickest.
Patti Bank: Okay thanks.
Jim Scibetta: Just going back to the question that Jonathan asked, I think I thought he was referring to the headline in the press release and he wasn’t, obviously he was referring to the income statement itself and it says net product sales of $50.9 million that include some DepoCyt revenue in there. So it’s the $50.2 million or EXPAREL and $700,000 of DepoCyt revenue.
Operator: Thank you, looks like we have a followup from Oren Livnat of JMP Securities. Your line is open.
Oren Livnat: Thanks. That was fast. First, I want to thank you guys for hosting us out there in San Diego. That’s a really cool trip. So don’t get mad at me if I took something incorrect, away from it, so I am going to ask you maybe a nit picky question but on that Suite C which was sort of educational to me to see that that was this two side-by-side parallel suites there. Did I misunderstand that that second half is not yet running or validated or FDA approved. I am not trying to take a potshot here just help me understand when you talk about $400 million in capacity now. Is that actually up and running or is there still a few steps you have to take before you are fully functional?
Jim Scibetta: You are right, the first skid was approved and we have been using the opportunity to do some development related activities, development is not the right word, efficiency related activities that put us in a position to be able to maximize productivity as we go forward and we are just now in the process of using the second skid from a pre-commercial perspective but the approval process is quite perfunctory there and with Suite A and then one of the skids in Suite C, as I sort of intimated earlier we are well ahead of production that we would have considered to be getting out of those skids.
Oren Livnat: Alright. So, just so I understand the second skid relatively box checking exercise to get that going and regardless it’s not like you take half of that 300 million and take—chop that off because you are already running significantly more efficiently with the 100 and the half of Suite C as it stands today.
Jim Scibetta: Both of those are accurate.
Oren Livnat: Yes, thanks so much.
Dave Stack: Thanks Oren.
Operator: Thank you. It looks like we have a followup from Douglas Tsao of Barclays. Your line is open.
Douglas Tsao: Hi, just a quick clarification. Busy morning, but I wasn't clear. Dave, you indicated in terms of the nerve block indication that you're expecting to get, do you think it will be limited to femoral knee block—nerve blocks, rather than sort of a more general nerve blockade?
Dave Stack: I really don’t know Doug but I think what I was trying to point out was that it was—that the data that was submitted to the FDA is in femoral nerve block and so there is a range of possibilities as to how these different products have been approved. We are taking some of our guidance from the ropivacaine package insert, where they talk about large nerves but we really don’t know until we get into discussions with the FDA and that hasn’t happened yet Doug.
Douglas Tsao: Okay, great. Thank you. Dave Stack Thanks.
Operator: Thank you and that’s all the time we have for question there. I would like to turn the call back over to Dave Stack for any further remarks. Dave Stack - President and Chief Executive Officer Great thanks, Ashley. We would like to note that next month we will be attending the Barclays Select Series 2014 Small Cap Symposia on November 12 and the Brean Life Sciences Summit on November 24 both of which will take place in New York City. We will also be presenting at the Jefferies Global Healthcare Conference in London on November 20. Thanks for joining us today and we hope to see all of you there. Thanks Ashley, thanks everybody.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This concludes today’s program. You may all disconnect. Everyone have a great day.